Operator: Good day, ladies and gentlemen and welcome to the fourth quarter 2008 Genoptix earnings conference call. My name is Immanuel, and I’ll be your operator for today. At this time, all participants are in a listen only mode. We will conduct a question and answer session towards the end of this conference. (Operator instructions) I would now like to turn the call over to your host for today, Ms. Marcy Graham, Senior Director of Investor Relations. Please proceed ma'am.
Marcy Graham: Thank you. Welcome to the Genoptix quarterly conference call to discuss operating results for the fourth quarter and full year 2008. Joining me on today's call are Dr. Tina Nova, Genoptix's President and CEO; Doug Schuling, EVP and CFO; and Sam Riccitelli, EVP and COO. This call is also being broadcast live over the Web and will be available for replay through Thursday, March 5, 2009, on the Investor Relations section of our website at www.genoptix.com. Before we begin, please note that statements made today, including statements about guidance, expectations, beliefs, plans, objectives, assumptions or future events or performance are not historical facts and are forward-looking statements. Forward-looking statements are not guarantees of performance. They involve known and unknown risks, uncertainties and assumptions that may cause actual results, levels of activity, performance or achievements to differ materially from those expressed or implied by any forward-looking statements. Any non-GAAP financial measures presented during today's call should be considered in addition to and not as a substitute for the information prepared in accordance with generally accepted accounting principles. For reconciliation of GAAP to non-GAAP financial measures discussed today, please access the GAAP reconciliation and supplemental material page of the Investor section of our website. For information about the risks and uncertainties that Genoptix faces, please refer to the Risk Factors section of the Genoptix Form 10-K for the year ended December 31, 2008, filed with the Securities and Exchange Commission earlier today, February 26, 2009, as well as any subsequent filings with the SEC. Genoptix assumes no obligation and expressly disclaims any duty to update any forward looking statement to reflect events or circumstances after today's call or to reflect the occurrence of unanticipated events. At this time, I'd like to turn the call over to Dr. Tina Nova, President and CEO of Genoptix. Tina?
Tina Nova: Thank you, Marcy. Good afternoon, everyone, and thank you for joining us today to discuss our fourth quarter and full-year 2008 financial and operational results. This was our first full year operating as a public company, and in that time we were able to continue strong growth trajectory, even in the face of a broader economic downturn as the need for oncology services maintained resistance to macroeconomic pressures. We are truly thankful for the ongoing success the company has experienced this past year, and wish to acknowledge our dedicated employees, who performed beyond expectations to deliver a banner year for all. One of our primary achievements was the expansion of our customer base, which grew to approximately 1000 active customers serviced in the last 30 days of 2008, up from 950 customers as reported at the end of the third quarter, and 700 at the end of 2007. This led to an increase in case volumes, adding approximately 11,500 cases in the fourth quarter to close the year with approximately 39,000 total cases processed, a 71% increase year-over-year. This improvement in case volumes resulted in exceptional revenue growth for the year with our revenues having increased by 96% to $116.2 million for 2008, including $3.3 million in out of period revenues. This strong performance was just over our expectation of approximately $112 million in revenues for 2008. Throughout the year, we successfully executed on several growth initiatives. We welcomed 126 new employees, and by the end of 2008 increased our total headcount by 81% to employ 281 people. We expanded our operational capacity with our new lab expansion, adding enough space to accommodate our near-term projected growth. As part of the process, we also freed up additional laboratory space by moving our administrative functions into new corporate headquarters, creating a dedicated laboratory facility from which to service our growing base of physician customers. As we stated many times in the past, we are committed to meeting the needs of our hematology/oncology customers in the community, and to build on our core competencies through the further expansion of our business and service offerings. Focusing on the specific diagnostic needs of these physicians and providing them with actionable results through our responsive service-orientated model has become a central element of our growth strategy. Most recently, our growth initiatives have included adding new testing capabilities to our menu. For some time now we have been offering Circulating Tumor Cell assays for CTC testing, which allows for the detection of a small number of solid tumor cancer cells, as they circulate through the bloodstream. This is our first foray into testing for solid tumors, associated with diseases outside the realm of hemato-malignancies such as prostate, breast or colon cancers, and the success of this offering has been encouraging. At the start of 2009, we launched two additional solid tumor assays, K-RAS Mutational Analysis and EGFR Amplification Analysis, the next in a series of steps to meet the growing needs of our physician customers, and service a broader array of cancer patients. These new tests will serve to provide clear direction for our physician customers, helping them identify patients who are good candidates for targeted cancer therapies. An emerging trend in managing patients with solid tumors is the integration of molecular test results with pathology, and as the number of molecular tests increases, so does the complexity associated with disease identification and diagnosis. Our decision to add new testing capabilities is the product of balancing the effectiveness of the latest technologies with the needs of our customers, who have made it known that they would like for us to apply the Genoptix approach to solving other complex medical dilemmas. So, we are excited about the new opportunities presented by adding new testing modalities to our capabilities. We remain focused on growing our core business by servicing the needs of physicians tasked with treating patients suffering from hemato-malignancies. Currently, we estimate that our market share for bone marrow procedures to be approximately 6% of the 375,000 procedures performed annually in the US. Over the next 3 to 5 years, we will endeavor to grow our market share to between 15% and 20% of the bone marrow market. To enable this growth initiative, we plan to grow our sales organization to include approximately 150 field sales representatives over the next three years. We will continue to focus on building strong relationships with our business associates, from our physician customers to research partners, to our payors, all in an effort to improve patient care. Ultimately, it is our goal to continue our evolution over the coming years, and to grow from being thought of as a hematology company to eventually becoming known as the oncology company. It is our expectation that the initiatives we are putting in place now will support this endeavor as we move forward. I will now turn the call over to our CFO, Doug Schuling, to talk about our performance during the last year. Doug.
Doug Schuling: Thanks, Tina. We are pleased to report strong results for both our top and bottom line performance during the fourth quarter and the full-year 2008. Despite the anticipated seasonality experienced at the end of the year, our fourth-quarter revenues of $34 million are up approximately 83% from the same period in 2007, and our full-year revenues were up 96% reaching $116.2 million for all of 2008. Increased case volume, due to added depth in sales force coverage was the primary driver of his growth along with pricing improvements that resulted from the net Medicare Fee Schedule changes put in place in 2008. As Tina mentioned, our full-year revenues included a $3.3 million benefit from changes in accounting estimates relating to prior periods. These positive changes in accounting estimates related to differences between the actual collected amounts associated with our non-contracted payors, and our original estimated revenues for services rendered in prior periods. We expect these out of period revenue collection amounts to decrease as relationships with the payors evolve over time. For the year, our average revenue per case of approximately $3000 increased by 14% over 2007, due in part to the contribution from these changes in accounting estimates in combination with a net increase in Medicare reimbursement rates previously mentioned. Gross profit for the fourth quarter of 2008 was $20.7 million or 60.9% of revenues, an increase from $11 million or 59.4% from the same period in 2007. Gross profit for the full year 2008 was $70.2 million or 60.5% of revenues, up from a gross margin of 59.4% for the full year 2007. Gross margins were elevated due to the recognition of out of period revenues, which added 2.7% and 1.1% to gross margins for the fourth quarter and full year 2008 respectively. Our continued commitment to growth is expected to result in additional cost going forward, which will apply downward pressure to our gross margins. Throughout 2009, we will incur added expenses associated with our recent facility expansion and new hematopathologists and laboratory personnel. Therefore, we expect gross margins to settle in the mid-to-upper 50% range for the foreseeable future. During the fourth quarter and for the full year 2008, we recorded increases in all expense lines as compared to the prior year period, which were expected and attributable to the expense associated with our growth and the cost of operating as a public company. As a percentage of revenues, sales and marketing expense was at 17% for 2008, down from 20% in the prior year. General and administrative expenses increased on a year-over-year basis moving to 19% of revenues from 17% for 2007. In total, operating expenses were approximately 38% of revenues for all of 2008 as compared to 37% for 2007. We expect sales and marketing expenses to trend upward as a percentage of revenues in 2009 as we continue to strengthen the organization with additional mid-level management and training personnel to support our continued growth initiatives. Stock-based compensation expense was $7 million for 2008. Approximately 33% of this stock-based compensation expense was included in cost of revenues with the remainder included in operating expenses. We expect to incur an additional $2 million of total stock-based compensation cost in this coming year, primarily related to the addition of personnel to support our growth. Operating margins of 25.6% for the fourth quarter and 22.9% for the full year 2008 reflect the benefit of revenues collected from prior periods, but are otherwise in line with operating margins for 2007. Investment in our facilities and infrastructure, including the addition of mid-level management personnel in all functional areas of the company throughout the coming year, and the addition of stock-based compensation is expected to reduce operating margins to the high teens to low 20% range going forward. Cash and investment balances generated interest income of $3 million for all of 2008, up from last year due to increased cash balances associated with the proceeds from our IPO and cash provided by operations. We expect interest income to decline through 2009, due to current economic conditions effectively reducing the yield on invested balances. The fourth quarter was the first full quarter in which we were fully taxed, following recognition of our deferred tax assets earlier in the year. This recognition resulted from a reassessment of our valuation allowance against deferred tax assets following our sustained profitability over several periods. For the full year 2008, the company reported a net tax benefit of $1.7 million reflecting the recognition of these deferred tax assets. Our tax rate of 43% for the fourth quarter resulted in GAAP net income of $5.4 million compared to GAAP net income of $4.7 million in the fourth quarter of 2007 taxed at a rate of approximately 3%. Diluted earnings per share for the fourth quarter were $0.30 based on 17.8 million weighted average common shares outstanding. For the year, GAAP net income in 2008 increased to $31.4 million resulting in diluted earnings per share of $1.78 on 17.7 million weighted average common shares outstanding, including net benefits resulting primarily from the recognition of deferred tax assets earlier in the year. We expect our future effective tax rate to be approximately 45% going forward into 2009. At the end of 2008, the company's total cash, cash equivalents, and investment securities were $107.1 million, including $4.1 million, which was classified as long-term. For the full year, cash generated from operations was $28.2 million. We ended the year with DSO's of 53 days, essentially flat as compared to our DSOs at the end of 2007. We also ended the year with a bad debt provision of approximately 3% of revenues, due primarily to continued advancements in our billing and collection systems, and experience gained in the collection process. Purchases of capital equipment during 2008 totaled $9.6 million, and were related primarily to purchases of laboratory equipment, facility expansion initiatives, and technology necessary to support our accelerated hiring and continued growth. Lastly, we would like to thank our employees for their exceptional efforts in helping us to complete our first full year of SOX 404 compliance. It is their contributions that allowed us to achieve this milestone, and we are appreciative of their commitment to the process. For more detail on our operational results, I like to turn the call over to Head of Operations, Chief Operating Officer, Sam Riccitelli, Sam.
Sam Riccitelli: Thank you. As Tina and Doug have outlined, we accomplished a great deal in 2008, adding new tests, new capacity, new customers, and increasing our case volumes to record levels. The primary driver of our growth in customers and cases is the continued expansion of our sales force. The addition of new feet on the street means we can reach more community physicians on a more regular basis to promote our capabilities, and more importantly to provide the high level of service that has become our hallmark. As a pursuit of his goal, we increased the size of our sales team ending 2008 with 55 field sales representatives, up from 34 at the end of the prior year. Throughout 2008, we fully committed to the growth process, adding not only sales representatives but a new layer of management to support their efforts and ensure that our continued growth is well managed as we move into the next phase of our development. We are continuing to fortify the structure of our sales organization by adding leadership roles to help us ensure the quality, focus, and technical acumen of our sales team. This year, we promoted several of our top performers to take on a greater role at the district and regional levels. These new roles are meant to enhance existing customer relationships, while continuing to broaden our market footprint, in a manner that rewards efforts to drive growth in our sales regions. With this goal in mind, we expect to have approximately 85 sales representatives in the field by the end of 2009. Our plan is to develop a stronger management structure, which extends beyond our sales organization and into our operational functions as well. In 2008 we began the process of adding management at all levels across the organization, from the laboratory to customer service. As we grow, we plan to scale our operations accordingly to meet increasing case volumes through the addition of lab personnel, customer service representatives, clinical service coordinators, billing and reimbursement personnel, and hematopathologists. During 2009, we intend to hire approximately 12 hemepaths in total, which should bring us to a total of approximately 37 on-site physicians to manage our growing case loads, clearly one of the largest groups of its kind in the United States. Our budget going forward incorporates these planned personnel increases, additional public company costs, and costs associated with expansion of our facilities as we implement our growth strategy. When considering our performance in the coming year, we expect to see revenues of approximately $170 million for all of 2009, an increase of approximately 47% year-over-year inclusive of all applicable changes to the Medicare Fee Schedule for 2009. Our growth is expected to result in income before taxes of approximately $38 million and net income of approximately $21 million for 2009. This assumes a tax rate of approximately 45% for all of 2009. This is expected to result in diluted earnings per share of approximately $1.15 for the year on an estimated 18.1 million shares outstanding. As our payer partnership evolved over time, we are mindful of the possibility surrounding these relationships, and are managing them accordingly. As always, we take seriously the guidance we put forth for the coming year and are committed to aggressively pursuing our goals for revenues and earnings in 2009. We plans to continue laboratory expansion efforts associated with our California-based operation through the end of this year. Based on this strategy, we are currently forecasting capital expenditures of approximately $8 million for the full year 2009, including approximately $4.5 million in maintenance capital. This will be used primarily for costs associated with supporting operations in our expanded lab facility including new equipment as required to reach our goals for the years ahead. And with that I will turn the call back over to Tina.
Tina Nova: Thank you, Sam. We successfully delivered a year of solid performance that we can be proud of and are pleased with the results we have achieved. We look forward to what is to come and are excited about our prospects in the future. Thanks also to our growing team who have committed themselves to providing the best customized diagnostics solutions and quality integrated services to our customers. We are now ready to take questions (inaudible).
Operator: (Operator instructions) And our first question will come from the line of Brendan Strong with Barclays Capital. Please proceed.
Brendan Strong – Barclays Capital: Hi, good evening. Congratulations on another great quarter here. I wanted to maybe just start off by asking about you know, competition and the economy. You know the other labs have all been talking about China expanding to focus on less discretionary testing in 2009, given, you know, some concerns about their other areas of testing. So, I'm wondering if you know if you feel like you may have worked harder for this growth in 2009 versus 2008, and if you’re seeing any of that increased competition and also any anecdotes on, you know, how the economy may be impacting doctor visits for the physicians you guys focus on.
Tina Nova: Right. Thanks, Brendan. Thanks for the compliment. I really appreciate it. There is no question that there has always been fierce competition out in the marketplace. We have seen that since we started in this business and we certainly respect our competitors. You know, as a reminder, we're focused on one customer in this one area, this one niche, and we continue to serve them very well with this specific offering that we have. You know, we have a much more defensible you know, market and this is an area where people really need these tests. These are not tests that can be ignored. The patients are extremely sick and they cannot delay decisions on whether to see these physicians to start receiving these treatments. It is just the nature of the area we are in, which we are saying, you know, while the other companies become more competitive in that area because they are having less samples from others, you know, I can’t answer that, but I can say that right now that we are very pleased with where we are and we have not seen a great deal of impact, you know, from the economy and within – and very, very fortunate. As you know, the President has come out with some comments about the budget and healthcare in general. It is way too early to say exactly what those – how that will impact what we are doing. It is early in the process. There aren’t a lot of details to that plan but you know, we are very positive about that because, one thing the President said is that we need to deliver high quality care and I think that really fits right into what the business model of Genoptix is. So, we welcome being able to be part of that solution.
Brendan Strong – Barclays Capital: Okay, that's great and then you know, maybe just two other questions, one on pricing. The price per case, it looks like, I mean, they look very similar to where it was in the first and second quarter, but down from the third. So, I was wondering if there was you know, any, you know, what the dynamic was there and then also, you know, CFFO looked a little bit weak, so I wasn't sure if there was something going on there as well, maybe related to taxes for example.
Doug Schuling: Hi Brendan, this is Doug. First of all, the changes in accounting estimates that were booked in Q4 were a bit lower than they were in Q3, $2.5 million for Q3 and $2.2 million for Q4. Additionally, in the fourth quarter we identified approximately 300 cases associated with our non-core clinical research service business that should have been counted in the third quarter, when its associated revenue was recognized. We have included these 300 cases I am referring to in the Q4 count. So that is impacting that ASP a little bit, but we include them in Q4 to ensure the proper year in count, but I want to be clear if this case count shift had no impact on the reported revenues.
Brendan Strong – Barclays Capital: Okay.
Doug Schuling: The other piece – your other question, why don’t you ask that again, I'm sorry.
Brendan Strong – Barclays Capital: Oh, yes. Cash flow looked a little bit weak in the quarter, and I wasn't sure if, you know, if there was some dynamic there, I'm not sure if there are now cash – taxes that you are paying. Are there any –
Doug Schuling: Yes, Brendan. It is all primarily related to taxes. As a reminder, our fourth-quarter was our full quarter of being a fully taxed entity, corporation if you will, and so that is primarily the difference in the cash provided from operations.
Brendan Strong – Barclays Capital: Okay, so I mean just to set expectations, cash flow from operations kind of look little weak in – maybe in 2009 versus 2008, just because of that dynamic. Is that fair?
Doug Schuling: That would be correct. We will absolutely – we are writing a lot larger checks in 2009 related to taxes.
Brendan Strong – Barclays Capital: Okay, great. Thanks very much.
Doug Schuling: You bet.
Operator: And our next question comes from the line of Zarak Khurshid with Caris & Co. Please proceed.
Zarak Khurshid – Caris & Co.: Yes, Zarak Khurshid with Caris & Co. Thanks for taking the question guys. Congratulations on a nice 2008 and a good fourth quarter. Could you comment a little bit on kind of the newest tranche of customers, how are their ordering patterns different from say, some of your early adopters and then maybe just generally comment on the extent to which the next phase of customers may not be as low hanging fruit as in the past?
Sam Riccitelli: Hi Zarak, this is Sam. Yes, we added another 50 customers or so to our ongoing 30-day ordering custom metrics to 950 at the end of Q3, a 1000 at the end of Q4. No real change in the ordering patterns. Our sales reps are really a good job delivering the message on what it is that Genoptix provides, the kind of value that we have associated with our service offerings, and that is what they have been telling, and that is what our customers have been purchasing from us. No real change in that respect. Relative to looking forward, you know, we still have not fully penetrated the market space in any respect. We have approximately 70 or so sales reps out there. Now, we're going to have 85 towards the end of 2009. That is still short of our ultimate aim to have more than 100 or 120 or so sales representatives on the field. So, we're still not yet fully covering the geography of the United States. So in one way, we don't think any of these folks out there are low hanging fruit. They all need to be convinced that the Genoptix way is the right way, but on the other hand there are still a lot of folks out there, we haven't yet accessed very well.
Zarak Khurshid – Caris & Co.: Okay, fantastic. Then a follow-up question, if I may, the solid in growing cash position. Can you view as your current philosophy on M&A?
Sam Riccitelli: And use of cash.
Doug Schuling: Right now we're very comforted by having that money in the bank, to be candid with you and we have no active plans at the present time for any acquisitions.
Zarak Khurshid – Caris & Co.: Thank you.
Operator: And our next question will come from the line of Bud Leedom with California Equity Research. Please proceed.
Bud Leedom – California Equity Research: Hi, nice quarter as well. I was wondering if I could just drill into the ordering physician dynamic, you know, at the end of 2007 you had roughly 34 field reps. You grew your overall ordering physician count from 700 to 800, and now theoretically, you know, with roughly 55 in the field you were able to grow that by 50 on a sequential basis. I'm just wondering what the dynamic is of the sales force in terms of, you know, the concentration is they are just further mining existing physicians, or does it continue, you know, continue to expand the overall ordering physician count. I'm just wondering really where the focus is near-term.
Doug Schuling: Well, near-term we are still growing the overall physician count and we still have a lot – we still have a lot of runway to do that. Longer-term, and Tina touched on this in her comments, longer term we are opening up some new opportunities for the company to access more of the patient cases from the existing customer base that we have established and our move into, our first move to second and third moves here in the solid tumors are helping us do that. The K-RAS and EGFR assays that we have launched, also brings us a new specimen type into the company, formalin-fixed, paraffin-embedded tissue that we can then perform molecular base assay upon, and that opens up a plethora of new opportunities. So down the road, we expect to begin increasing that case per customer per month metric that we talked about. Right now, we average about 3.5 cases per customer per month, but by opening up these new oncology segments, we bring a lot more opportunity to the company. Right now, we think we can access potentially five cases with the prior focus business and by adding these new technologies we can open up maybe three or four times that amount, which gives us a lot more same-store sale opportunities. But again, rest assured, in the near term it is all about adding more representatives on the film talking about our message and then getting more customers as a result of that.
Tina Nova: And Bud, this is not a real difficult sale as far as the physicians. Number one, they really requested that we help them in this area. This was an area that they needed these tests for, this is not something that, you know, a difficult sale where you have to go in and convince them and explain to them what these markers are used for. The physicians already know what they are used for, and they really are so pleased with our service in these other areas that they want us to apply that same level of service that we give them that we're been giving them all along with these new tests. So, it has been very nice to have support like that from our customers.
Zarak Khurshid – Caris & Co.: Okay, yes, because you know, obviously the ordering physician count has trailed your nice growth in a number of cases, and I guess, I was just trying to ascertain whether the sales force is being directed to, you know, just really increase the penetration of existing accounts or you know, also grow the ordering physician count. I was just trying to – I guess get to the heart of why there is a little greater ramp in the number of cases versus physicians there.
Sam Riccitelli: Well, part of it was that accounting change that Doug spoke to on the first question. Part of that entered into the case count for the fourth quarter.
Zarak Khurshid – Caris & Co.: Got you.
Sam Riccitelli: That is misleading you a little bit.
Zarak Khurshid – Caris & Co.: Okay, and then just finally and you have touched on it briefly, just again penetration into the total caseload. You know, if you do a back of the envelope, you know, which is basically taking the number of cases and ordering physicians, you kind of get to a monthly or average case per physician of about 3.8, and I know we discussed this last time that that is not exactly how it works out, but it seems to be increasing. So, and I think we'd talked about a number of total cases or total average cases per physician around 4, now you are saying potentially it is around five. Are you saying greater penetration there and is that something we’ll continue to see tick up or is it going to be probably in this 3.5 range at least over the near term.
Sam Riccitelli: Bud, this is Sam again. Just a couple of things to clear up here, first, the cases associated with hematomalignancy. In our opinion, it is somewhere between 4.5 and 5 per customer per month, and so that hasn't changed. And we have been averaging around 3.5 per customer per month, you know, all these other changes aside. Now going forward by moving into the solid tumor space, we open up a greater potential for the company. Instead of 4.5 to 5, we are estimating it is more like 15 to 20 cases per customer per month. So, I think you are on to something here, something that we think is very important as well, measuring that per case per customer per month down the road is going to be a good signal how we are continuing to grow the company.
Zarak Khurshid – Caris & Co.: Great, great and then just finally as it relates to some of the FedEx fuel charges, obviously we are seeing a moderation there. Are you seeing any material impact on your gross margins?
Doug Schuling: No, we're not. Definitely an improvement there. The rates have been going down. Nothing like we had you know, certainly nine months ago. So no impact we are talking about at all. Just it looks slightly better, slightly favorable, but it is not a big enough piece but obviously to really tip the needle too much.
Zarak Khurshid – Caris & Co.: Right, okay. Thanks again.
Operator: (Operator instructions) And at this time, I see no more questions in queue. I like to turn the call back over to Marcy Graham.
Marcy Graham: Thank you all for joining us on today's call. If you have any questions, don't hesitate to contact Investor Relations at 760-930-7127. Thanks.
Operator: And thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.